Operator: Good day, everyone. And thank you for standing by. Welcome to the Lee Enterprises 2020 Fourth Quarter Webcast and Conference Call. The call is being recorded and will be available for replay beginning later this morning at lee.net. At the close of the planned remarks, there will be an opportunity for questions.  A link to the live webcast can be found at www.lee.net. Now I will turn the call over to your host, Tim Millage, Vice President and Chief Financial Officer and Treasurer. Please go ahead.
Timothy Millage: Good morning. Thank you for joining us. In addition to myself, Kevin Mowbray, our President and Chief Executive Officer will be speaking on this morning call. Also with us on today’s call and available for questions is Nathan Bekke, Vice President, Consumer Sales and Marketing.
Kevin Mowbray: Thank you, Tim. Good morning, everyone. And thank you for joining the call. We made significant progress towards our digital transformation in the midst of the pandemic. We are pleased with the fourth quarter and fiscal year 2020 operating results. We've shown modest and continuous revenue trend improvement since April. In our fourth quarter advertising revenue trends were down 26.7%, a 13 percentage point improvement when compared to third quarter trends. The trend improvement is a result of various sales initiatives, like the Lee  stimulus program that supported our local advertisers. Amplified, our full service digital marketing agency also helped improve our advertising revenue trends. Amplified provides a full suite of digital marketing services, including web development, social media management, targeting and videos. Amplified revenue increased 29.7% in the fourth quarter. Advertising revenue trends continue to look strong in the first quarter, driven in part by political advertising in certain of our markets, as well as strong local retail performance, growth in video and strong digital performance. Nearly 50% of our total operating revenue in the fourth quarter was earned from subscriptions to our printed digital products and from digital services provided by TownNews.
Timothy Millage: Total operating revenue on a GAAP basis was $191.8 million in the quarter and on a pro forma basis, total revenue was down 16.9% compared to the prior year. In June, we set out a cost reduction goal of $100 million post the acquisition. Through September, we have implemented $84 million of cost reductions on track to achieve the $100 million target in ‘21. In the fourth quarter, total cash costs on a pro forma basis were down 14.7%. Compensation was down 15.5% due to business transformation efforts implemented throughout the quarter that reduced full-time equivalents. Newsprint and ink expense increased 35.3% in the quarter due to volume and price declines. Other cash costs were down 11% in the fourth quarter, due to declines in print related costs, like delivery and postage, partially offset by increases in digital spend. Our business - our business transformation efforts were focused on the following areas. Reorganization of our operating structure from a market based operating structure to a vertical structure, creating significant efficiencies across all of our departments. Evaluation and execution of our daily print transformation initiative in certain of our markets. Acquisition integration of back-office functions, including HR, finance, and IT. Centralization of technology systems and business transformation initiatives in the newspaper design and advertising design. By the end of 2020, we implemented $84 million in production. And as I mentioned, we are on track to achieve our targets.
Operator: Thank you. At this time we will be conducting a question-and-answer session. 
Timothy Millage: Question over the web app for specifics regarding the restructuring costs and other non-operating income. Our restructuring cost is $7.3 million, its made up of two primary items. One severance related to a business transformation effort, as well as a $4.4 million withdraw from our – from a multi-employer pension plan. A significant driver and other non-operating income is a result of monetizing our private equity investments that resulted in a $7 million gain. We have no more questions on the web. I'll turn it back to Kevin for any closing remarks.
Kevin Mowbray: Well, I appreciate your interest in Lee. And I appreciate you joining the call. Thank you for joining.
Operator: Thank you. Ladies and gentlemen, at this time we have reached the end of our question-and-answer session. This concludes our call.